Operator: Welcome to the Wynn Resorts First Quarter 2025 Earnings Call. All participants are in a listen-only mode until the question-and-answer session of today's conference. [Operator Instructions] This call is being recorded. If you have any objections, you may disconnect at this time. I will now turn the line over to Julie Cameron-Doe, Chief Financial Officer. Please go ahead.
Julie Cameron-Doe: Thank you, operator, and good afternoon, everyone. On the call with me today are Craig Billings, Brian Gullbrants and Jenny Holaday in Las Vegas. Also on the line are Linda Chen and Frederic Luvisutto. Please note that we've published a presentation to provide more color on the company and recent performance ahead of this call. You can find the presentation on our newly relaunched Investor Relations website. I want to remind you that we may make forward-looking statements under Safe Harbor federal securities laws, and those statements may or may not come true. I will now turn the call over to Craig Billings.
Craig Billings: Thanks, Julie. Good afternoon, and as always, thank you for joining us. Before we get into the quarter, I want to take a moment to recognize a very significant milestone. Last month, I was pleased to join nearly 1,700 of our day one Wynn Las Vegas employees in celebration of the 20th anniversary of our iconic Las Vegas resort. I want to take a moment to express my gratitude to each and every one of our team members, including those 1,700 folks who have been with us in Vegas since the beginning. This anniversary was a tribute to the dedication, passion and hard work that so many have demonstrated over the years to build the strength of our business today, a business that is delivering near record results with a significant property opening now less than two years away. I also want to acknowledge the significant contributions of Elaine Wynn to both our business and the broader Las Vegas community. Elaine, who cared so deeply about our employees, was truly one of a kind and will be missed by many. Turning to the business, I'd like to address upfront the potential impact of tariffs on our business. We expect the direct impact of tariffs on OpEx to be low and entirely manageable, with most of the impact in the US stemming from food and beverage, where we are actively working through alternative sourcing for the most impactful items. CapEx, however, is a different story. We had a number of CapEx projects in flight in the US. And while we have sourced for those projects presuming some tariff impact, the current tariff rates have driven us to delay about $375 million of CapEx projects, including the Encore Tower remodel. Once tariff rates have settled, we will thoroughly respec and resource the most severely affected items. While we're staying nimble, the pace of change at the moment is just too significant to commit to revised timing on that CapEx. Turning to the potential indirect impacts. There's been plenty of recent research on the potential impact of tariffs on growth. And while we are certainly better insulated than some given our more resilient affluent customer base, there is obviously uncertainty out there. So far, however, our businesses in Vegas and Macau are holding up quite well. In Vegas, April RevPAR was up slightly from 2024, slot handle was up and group activity was as expected. So the business through April felt pretty good. And the visibility we have into forward demand, which is primarily through our group and convention business, also looks just fine. Of course, the booking window in other channels is much shorter than group, and so we are watching those channels carefully. In Macau, mass drop in April was in line with 2024, and direct VIP turnover was up nicely. Golden Week, which just ended, saw mass drop up from last year and full occupancy in the hotels. But again, the booking window there is short, and we are watching customer activity day-to-day. Long story short, recent results have been good, but we have to acknowledge the uncertainty out there and the impact that uncertainty may have on demand. As always, we have a playbook ready for every scenario. So with that, let's turn to the quarter. We were pleased to deliver another solid quarter of EBITDA here in Las Vegas on an impossible comp against the 2024 Super Bowl. On last quarter's call, we called out a $25 million headwind to EBITDA, and we did a bit better than that as we were only down about $11 million when adjusting for hold in both periods. Demand remained healthy in the quarter with a 4% increase in total casino revenues even without the Super Bowl in 2025. Our slot business continues to be a bright spot as the investments we have made in our premium slot areas and in the team have helped maintain our premium positioning. In fact, if you remove Super Bowl weekend from the prior year quarter, we were up across the board. Drop, handle, RevPAR, non-gaming revenues and EBITDA all up year-over-year. Turning to Boston. Encore Boston Harbor generated $57 million of EBITDAR. Slot volumes continue to hold up well with slot went up about 3%. More recently, demand in Boston has remained healthy through April with drop and handle flat to last year. In Macau, other than hold, the business in Q1 felt very good. Business generated $252 million in EBITDA with poor VIP hold costing us nearly $40 million of EBITDA. We saw healthy volumes in the quarter with turnover up 31% and mass drop up a point, both sequentially. Adjusted for VIP hold, we grew market share sequentially and improved EBITDA margins from Q4 to Q1. While the market in Macau continues to be highly competitive, we remain disciplined in our focus on maximizing EBITDA and generating a healthy margin profile. We were also pleased to recently open the Gourmet Pavilion food hall at Wynn Palace, an exciting new amenity for us, which is already driving visitation and eliciting enthusiasm from our customers. In fact, since opening the Gourmet Pavilion, we have seen about 2,400 incremental daily restaurant covers at Wynn Palace, a strong indicator of additional visitation to the property. Turning to Wynn Al Marjan Island. Construction is now up to the 47th floor of the tower, and we will top out later this year. We will soon be commencing with the fit out of interiors in portions of the building, and we're also now sculpting the elaborate beachside poolscape. We remain on track for our targeted opening date, and we believe the property will be well positioned as the only integrated resort to open in the near-term into what several analysts have predicted will be a $5 plus billion GGR market. We think this is the most compelling development opportunity in the industry right now. Our future is bright. And as I mentioned last quarter, while our stock price continues to inappropriately reflect the value of our assets, we will buy back stock. To that end, we purchased $200 million of stock in the first quarter and another $100 million thus far in Q2. With that, I will now turn it back to Julie to run through some additional details on the quarter.
Julie Cameron-Doe: Thank you, Craig. At Wynn Las Vegas, we generated $223.4 million in adjusted property EBITDA on $625.3 million of operating revenue during the quarter, delivering an EBITDA margin of 35.7%. Removing the Super Bowl weekend from each quarter, revenue and EBITDA were up 5.4% and 2.7%, respectively. OpEx excluding gaming tax per day was $4.3 million in the quarter, up 4.1% compared to the prior year due to normal wage inflation from our union and non-union areas and a prior year recovery of bad debt. The team in Las Vegas continues to exercise strong cost discipline and has been able to mitigate the majority of recent payroll related increases without impacting the guest experience. Turning to Boston. We generated adjusted property EBITDA of $57.5 million on revenue of $209.2 million with an EBITDA margin of 27.5%. Prior year EBITDA benefited $2 million from a one-time credit to OpEx in addition to about $3 million of high hold. We stayed very disciplined on the cost side with OpEx per day of $1.18 million up just 1% from Q1 '24 despite continued labor cost pressures in that market. The Boston team has continued to do a great job of mitigating union related payroll increases with cost efficiencies in areas of the business that do not impact the guest experience. Our Macau operations delivered adjusted property EBITDA of $252.1 million in the quarter on $865.9 million of operating revenue resulting in an EBITDA margin of 29.1% in the quarter. Lower than normal VIP hold impacted EBITDA by a little over $38 million in the quarter. OpEx excluding gaming tax was approximately $2.64 million per day in Q1, flat year-on-year. The team has done a great job in staying disciplined on costs, and we remain well positioned to drive strong operating leverage as the market continues to grow over time. In terms of CapEx in Macau, we recently opened the Gourmet Pavilion at Wynn Palace, as Craig mentioned, and we're currently advancing through the design, planning and approval stages on several of our larger concession commitments. As we noted the past few quarters, these projects require a number of government approvals, creating a wide range of potential CapEx outcomes in the near-term. As such, we expect total CapEx spend in 2025 inclusive of our concession related commitments and other projects to range between $250 million to $300 million. Moving on to the balance sheet, our liquidity position remains very strong with global cash and revolver availability of $3.2 billion as of March 31. This was comprised of $1.8 billion of total cash and available liquidity in Macau and $1.3 billion in the US. The combination of strong performance in each of our markets globally with our properties generating nearly $2.3 billion of LTM adjusted property EBITDA together with our robust cash position creates a very healthy consolidated net leverage ratio of just over 4.3 times. Our strong free cash flow and liquidity profile also allows us to continue returning capital to shareholders in both Macau and the US. To that end, the Wynn Macau Board recently announced it is recommended to shareholders an increase in the final dividend for 2024 to $125 million up from $50 million in the previous period, subject to shareholders approval at the upcoming Annual General Meeting on May 23rd. In addition, the Wynn Resorts Board has approved a cash dividend of $0.25 per share payable on May 30th, 2025, to stockholders of record as of May 16th. During the quarter, we repurchased 2.36 million shares for approximately $200 million and an additional $100 million so far in Q2 '25. These share buybacks, together with our recurring dividend, highlight our focus on and continued commitment to prudently returning capital to shareholders. In terms of CapEx, we spent approximately $160 million of CapEx in the quarter, primarily related to the villa renovations and food and beverage enhancements in Las Vegas, concession related CapEx in Macau and normal cost maintenance across the business. Additionally, we contributed $51.2 million of equity to the Wynn Al Marjan Island project during the quarter, bringing our total equity contribution to-date to $682.9 million. During the quarter, we started drawing on the construction loan with a drawn amount to-date of $278 million. We estimate our remaining 40% pro rata share of the required equity is approximately $650 million to $725 million. With that, we will now open up the call to Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from Carlo Santarelli with Deutsche Bank. You may go ahead, sir.
Carlo Santarelli: Hey, Craig, Julie, everyone. Maybe this is for Craig. I know that the way that we see promos, discounts, in Las Vegas is different than maybe the way that you guys think about them or see them. But it does look like in the first quarter, that came down fairly really both as a relative to [Technical Difficulty] on a dollar basis. I was wondering if there's been any change there or if just a lot of what we're seeing is the Super Bowl comparison and some of that savings is coming through just from that weekend alone.
Craig Billings: Sure, Carlo. It's those numbers are going to correlate very strongly with ADR because a significant component of our reinvestment is in the form of rooms. So your presumption that it relates to Super Bowl is correct because our ADRs over Super Bowl were even more off the charts than they are ordinarily.
Carlo Santarelli: Okay, great. And then, Julie, you talked about kind of the contributions and where things stand as of today. How should we think about the cadence of kind of that remaining $650 million to $725 million?
Julie Cameron-Doe: Yes. Thanks, Carlo. I think we've talked about this in the past that it's following the usual kind of construction curve. So it's going to be we'll be deploying that over the course of the remainder of this year and into next year.
Carlo Santarelli: Okay, great. Thank you.
Craig Billings: But it is pro rata. It is essentially side by side with the bank financing. So it is not equity first, bank second.
Operator: Thank you. Our next caller is Sean Kelley with Bank of America.
Sean Kelley: Hi. Good afternoon. Thanks for taking my question. Craig, maybe you can just give us your thoughts on there's obviously a lot of questions around kind of the consumer and some of the mix. And as your business has evolved, particularly the growth you've seen in slots, could you just give us your latest sense on sort of how much international inbound is Wynn exposed to and how much sort of China or Asia sourced VIP should we think about purely on the Las Vegas side of the equation? That'd be helpful.
Craig Billings: Sure. First step is to bifurcate it between the very high end and not the very high end. On the very high end, we're not seeing really any implications for visitation at all. Outside of that group, post-COVID, international is like 9% of Las Vegas room nights, which is we can easily, easily backfill. And so we don't see -- we do see a decrease in international visitation, particularly from Canada and Mexico, as others have mentioned. It doesn't really impact us much at all.
Sean Kelley: That's helpful. And then big picture, obviously, it looks like sounds like the forward calendar and everything you're seeing on group is consistent and fairly unchanged, which I think fits with everything we've heard from the market right now. But maybe just your thoughts on sort of the rate picture as we move into the summer kind of across Memorial Day. Sometimes that area gets a little bit more volatile. Obviously, the booking windows are very short. But anything that you see in activity there or anything you see on the pricing side one way or another that we should be aware of?
Craig Billings: Nothing from a pricing perspective, nothing out of the ordinary. From a booking perspective, honestly, this last weekend, we had bookings that were well above the norm. And so look, we can be naive. There's uncertainty out there, as I mentioned in my prepared remarks, and we have to watch this stuff day-to-day. But as I also said in my prepared remarks, things look fine as of now and booking continues kind of where we would expect it. Although again, as you rightly point out, the booking window is relatively short. So we'll see once things really start to kick in and the impact of the decrease in port traffic that you're seeing in L.A. And the impact of tariffs really set in, we'll see. But as of now everything is pretty good actually. Brian, anything you'd add?
Sean Kelley: Thank you very much.
Brian Gullbrants: I'd say the revenue team and our sales team are continuing to take rate wherever they can. You can look for yourself. Our rates are extremely strong, beating the market. And when we look to 26% on the group side, we're pacing even better than expected. So feeling good about group pace and feeling good about where we are right now. We'll see what happens in the summer.
Craig Billings: But watching it like a hawk.
Brian Gullbrants: That's right.
Sean Kelley: Thank you.
Operator: Thank you. David Katz with Jefferies. You may go ahead.
David Katz: Good evening, everybody. Thanks for taking my question. Can you just talk a bit more about Macau? And we've obviously heard your commentary about the competitiveness in that market. And just talk a bit more about how that manifests and how you respond to it. Are we talking about credit or promotions or what else is manifesting in terms of that heightened credit?
Craig Billings: Yes, sure. I mean, I think it's -- I think one of our peers talked about it on a call regarding the strength of the premium mass market and the importance of the premium mass market to Macau at the moment, and we would clearly second that. I mean, you have a market where the booking window is short, and for a while, the promotional environment was probably more player friendly than it had historically been. That's eased and what we see is a pretty stable promotional environment now. But it's the day-to-day hand-to-hand combat of getting that customer to make a trip and getting that customer to come to your property. So I can't say it's any one of those things that you mentioned. It's really a combination of kind of all of them. And the competition for that customer segment is fierce. So what do we rely on? We rely on the things that we've always done really, really well, service, the quality of the product. And then muscles that we've built over the course of the past few years on the machine learning side and on offer development and offer delivery on many of the new amenities that we've put in, the complete reconfiguration and changes that we've done in our food and beverage program, the opening of the food hall that we just talked about, all of those things are important to our ability to be competitive. But it's a river of nickels, David. So it's really all of those things, and you got to be prepared to do all of those things and doing well.
David Katz: Understood. And I just want to be clear. Is it notably worse than it was six or 12 months ago? And do you have any sense about what the trajectory of that might be in the next 12 months?
Craig Billings: No, I don't. In fact, I think it's better. So I think everybody came out of COVID. I mean, you had this period of closure and you had a period in which the junkets were taken out of the market. And so I think you had this period of time coming out of COVID when everybody was kind of finding their footing. I think we were unique coming out of COVID because we were in particularly strong shape coming out of the gates. And I think at this point, everybody has kind of found who they are and how they're going to compete. And I think that stability that we're seeing in the market over the course of the past, call it, six months is good for the market, but it doesn't change the fact that it's a very, very competitive dynamic. When I say it's a competitive dynamic, it's not a negative statement. It's not a -- I'm not saying anything bad about the market. I'm just stating the reality, and it's a reality we live with every day, and we're fine with it.
David Katz: Perfect. Thank you.
Craig Billings: Sure.
Operator: Thank you. Stephen Grambling with Morgan Stanley. You may go ahead.
Stephen Grambling: Hey, thank you. Craig, I think in your opening remarks, you talked about the disconnect in the value of the stock and your willingness to buy back, which sometimes you hear about conglomerates and holding companies having discounts. I guess, how do you think about synergies from operating as one business across multiple properties globally and one brand versus perhaps dis-synergies if there ever was an option to consider in separating out properties?
Craig Billings: Well, taking a single scale business that can pull cash flow from multiple sources and redeploy it into development opportunities globally and turning it into multiple subscale businesses that cannot is probably not a good idea. Second, you have a reasonable amount of cross property play. And in fact, there are elements of our marketing strategy that are deployed globally. You have a lot of efficiencies in the capital structure by having a business that has more scale and more sources of cash flow. There's a whole litany of reasons that operating the business as a single business makes sense.
Stephen Grambling: That's helpful. And one of the first things you said was development. So I'm curious, one of the things that you haven't touched on yet, I don't think, was just around New York. That's something that's been out there a little bit. There's been some waffling from some of your peers. I guess, what's your latest thoughts and maybe any timing thoughts on New York as a development opportunity?
Craig Billings: Sure. I think the current plan seems to be for the RFAs to be submitted by the end of June with licenses awarded sometime by the end of '25 or early '26. New York is a great potential market, and we're certainly prepared to put together a fair proposal. It's also a complicated market with a lot of considerations. You've heard some of our peers talk about online gaming, and that's certainly a point of concern for us. And we also need to consider the potential impact of tariffs on build costs. So and then pile on top of that the fact that the local politics are complicated. So we continue to be in the running in New York, but we absolutely will not get over our skis to win license there.
Stephen Grambling: Great. Thank you so much.
Craig Billings: Sure.
Operator: Thank you. Our next caller is Robin Farley with UBS.
Robin Farley: Great. Thanks. Just going back to the CapEx that you mentioned you're putting on hold. Can you give us a sense of sort of what projects? And also what's the scale of that the increase in that CapEx cost? I'm just thinking if that would be similar read through to your potential New York project in terms of the CapEx impact from tariffs. Thanks.
Craig Billings: Well, first, the bulk of it is the Encore Tower remodel. So call that high 200s out of 375 that we talked about. The rest of it is kind of cats and dogs that we were doing here in the US. I don't think the read through would be instructive because you're talking about a greenfield new build where you have a lot of steel, a lot of MEP, a lot of things that are sourced from a lot of different places. And in this particular instance, we had kind of two or three relatively high dollar items on a per unit basis that were sourced from high tariff locations. So I don't think the read through would be applicable.
Robin Farley: Okay, great. Understood. And then just on the group piece, some of the larger hotel companies have talked about softening group. And so I think the comment about 2026 was like pacing better than expected. Can you -- I guess what had you been expecting just to think about how your '26 group is trending just relative to what we're hearing from the other large hotel companies? Thanks.
Craig Billings: I'll start by saying we are not experiencing softening group. But, Brian, do you want to follow-up?
Brian Gullbrants: Yes. The strength in '26 that we're seeing, we would probably attribute to Q1. NADA, CONEXPO, there's a couple of large groups that alternate cycles, and they're lining up next year. So next year looks great. Demand is strong and we're looking quite good. So feeling good about '26 right now.
Robin Farley: Great. That's super helpful. Thank you.
Operator: Thank you. John DeCree with CBRE. You may go ahead, sir.
John DeCree: Hi, everyone. Thanks for taking my questions. Maybe on the development pipeline, you mentioned Thailand. In the slide deck, we've talked about that a little bit in past calls and New York, but I guess there's some rumbling that Japan might reopen bidding for IRs. I'm curious, Craig, if you'd look at Japan again and under kind of what pretense that might be interesting for you.
Craig Billings: Thank you for the question. There's we'll always look at any gateway city where meaningful capital can be deployed, and we think the Wynn brand resonates. So Japan fits that bill. There's structural challenges in the way that the licensure and ownership have been outlined in Japan. And so when we look at it, of course, but it's got to be right, and the setup has to be right for us. We have plenty of development opportunities. We have a land bank in the UAE. We have a land bank in Boston. We have a land bank in Las Vegas. You mentioned Thailand. Obviously, the bill there has been delayed, and there's some components to the bill that probably won't work if they stay in the bill. But it's an amazing potential market with unbelievable airlift, infrastructure, tourism, et cetera. So we've got plenty of development opportunities. We would only look at Japan if the setup was right.
John DeCree: That's helpful, Craig. I appreciate the insight on that one. And then maybe an easy one. Not sure to the extent inflation or construction cost inflation kind of overflows outside of the US, but do you see any risk in global construction costs at the UAE? I think your contract there or even in Macau any potential cost increases on CapEx that you've seen?
Craig Billings: Quite the opposite. Well, two things. One, we're -- we have a substantial portion of the UAE already bought out. So we have very, very strong budget certainty in the UAE. Elsewhere, you really it's more on the FF&Es on the Furniture, Fixtures and Equipment side. You have vendors out there that have lost a lot of customers. And so you see opportunities actually from a cost savings perspective. I can't quantify that into any of the projects that we're executing right now because it's too early, frankly, with where we are in the process in Macau. And again, we're pretty much bought out in the UAE. But, no, I don't see any spillover effects outside of the US.
John DeCree: Great. Thanks, Craig. I appreciate the help.
Craig Billings: Sure.
Operator: Thank you. Brandt Montour with Barclays. You may go ahead.
Brandt Montour: Good afternoon or good evening, everybody. Thanks for taking my question. So I just want to clarify on the CapEx announcement today on the call with $375 million of spend. The decks that you put up, it doesn't look like there's much difference for the Encore Tower shifting. I'm just hoping you could clarify that. And then specifically, for the Encore Tower, I don't think you were expecting much disruption in the year. And so I guess we should sit here and think that there's not much benefit of pausing it for operational considerations, but how are you thinking about how that will affect the '25 P&L?
Julie Cameron-Doe: Sure. Thanks for that, Brandt. Yes, if you look carefully at page I think it's page 19 in the presentation, we did keep everything as is and but there's a footnote calling out the $375 million delay. The reason for that and we debated how to present it, was really good. As Craig said, we can't actually come up with the accurate timing of when that's going to happen. So we don't want anyone to think we are canceling it because we're absolutely not. We're fully focused on getting it done. We just have to do the work now to figure out once tariffs settle down, how can we respec and rescope and then reschedule and retime how we're going to do it. So it's still in the CapEx forecast because it's going to happen at some point. It's just we can't be clear on the timing, so we just footnoted it.
Craig Billings: And then figuring out the revised timing is not trivial because when we respec pieces, particularly Furniture and Fixtures, it's not like we're flipping through a catalog, right? We're getting samples created. We're SIP testing those. We're beating those up. We're getting feedback from operations from the finishes. We're giving comments back to the vendor. This is a process that takes a lot of time. So to the extent that we respec a single piece of furniture, we're delayed by X number of months. There's just nothing we can do about that. So as Julie said, once we have certainty on sourcing and once we have certainty on what the tariffs will be from the country of origin on those sources, then we'll recommence. We just don't know when that is right now. Right now, we're selling all the rooms in Encore through end of this year, Brian?
Brian Gullbrants: Correct.
Craig Billings: End of this year. And so if we move out another couple of months, then we'll start selling through the end of Q1. But we'll do the CapEx eventually.
Brandt Montour: Okay. That's really helpful. And then a follow-up on Macau. Julie, I think you said that the OpEx ex-tax per day was flat year-over-year. I know you also opened up the food hall, at the Palace. I'm just sort of curious how you're able to keep OpEx per day flat with that opening. And then also if you could give us a sense of how that should trend throughout the year with I know that you guys have more concession agreement related stuff, but you're waiting on approval. So any other thoughts on the progression of the year on OpEx per day would be helpful.
Julie Cameron-Doe: Sure. Thanks for that. We opened the Gourmet Food Pavilion just about a week ago. So it didn't it wasn't included in the quarter. We've managed OpEx very, very carefully though. We've been very focused on how we can drive economies elsewhere so that we can seek to neutralize the impact of the additional cost associated with that. So we're working on that. And as a result, as we look out where OpEx is going to land throughout the remainder of the year, it's in the right zone where it is right now.
Brandt Montour: Great. Thanks very much.
Craig Billings: And I would just add to that. The team who's on the call is doing their job right, we're generating incremental revenue out of the footfall that we get out of that facility. So sure we pick up a couple of hundred FTEs. We can manage that we can manage that pretty easily relative to the total employee base, but we should be driving incremental EBITDA out of that. And that's really the approach with each of the concession related commitments that we made. Now the margin profile on those concession commitments, we need to focus on that and drive that. But if we have 2,400 incremental covers that we're doing in Wynn Palace every day, it's a pretty trivial amount of conversion to the gaming floor that we need out of those incremental visitors in order to drive EBITDA that more than fades the OpEx coming out of the food hall itself.
Brandt Montour: Makes sense. Thanks, everyone.
Operator: Thank you. Ben Chaiken from Mizuho. You may go ahead.
Ben Chaiken: Hey, thanks for taking my question. Regarding Wynn Al Marjan, I think in the past we've talked about some of the different player cohorts in three buckets. Number one, inbound to Ras Al Khaimah. And number two, those living in Dubai. And then number three, destination luxury customers. Understanding this is a brand new asset, how would you rank order those in terms of opportunity as you see it? And then anything you can share regarding the expected demand or magnitude of the second bucket, those living in Dubai? Thanks.
Craig Billings: You either took really good notes or have a great memory. Those are, in fact, the three cohorts that we would focus on. I don't rank order them because each of them is incredibly important. You can think of those markets, you can think of them slightly differently. So in Las Vegas, as an example, 25,000 people a day come through Wynn Las Vegas, but only 10,000 of them are lodgers. And the rest of them are coming from adjacent properties and from the Las Vegas Strip. That's very akin to the first group that you mentioned and that's about having sufficient amenities to drive to really get one of their four days in Ras Al Khaimah on property. The second bucket is a lot like a locals market. And so you can think of that very similar to the wonderful business that we have in Boston, where you're dealing with people that are within a certain driving range and you market to those folks in a very specific way. You use food and beverage in a very specific way. And the third bucket is really the vast majority of our larger business here in Las Vegas, which is a fly to market as opposed to a locals market. So from an EBITDA perspective, each one of them is important. And from a vibe and aesthetic and customer experience perspective, each one of them is important and they each play a role in the programming that we have put into that building.
Ben Chaiken: Thanks. Appreciate it.
Craig Billings: Sure.
Operator: Thank you. Chad Beynon with Macquarie. You may go ahead, sir.
Chad Beynon: Good afternoon. Thanks for taking my question. Wanted to ask a two parter on a few of the non-gaming related items in Las Vegas. Julie, I think you mentioned at the beginning of that OpEx should increase on food and beverage. First question, is there a specific growth rate that you can kind of talk to that would offset some of those price increases to keep margins flat? And then my second question is around the retail business. Not sure if you've seen any impact in terms of the high end handbags and watches at your stores. And can you just kind of remind us if it's roughly an 80-20 base versus turnover on that business? Thank you.
Craig Billings: Sure. I'll take each one of those. So first, I may have perhaps I misspoke in my prepared remarks. What I said in my prepared remarks is that we don't expect tariff impact on OpEx. I think that was the genesis of your question on food and beverage.
Chad Beynon: Yes. Okay. Sorry about that. Thank you.
Craig Billings: That's okay. We don't expect any impact because it's really a sourcing question. Now are there certain things that you can only get from certain places? Absolutely. But the vast majority of things that would be most impactful, we can resource and we're already on it now. So we don't expect much there. In terms of retail, you can see the Q1 numbers. You can see in our press release where you can see everything else. Retail was essentially flat year-over-year, and that's coming off an absolutely incredible comp. So nothing really and frankly coming off a prior year that had Super Bowl in it, which is a -- which was obviously a giant retail number. So nothing of note in retail to talk about. And lease terms vary not all over the place, but they vary a decent amount between base rent and percentage of turnover. So there's not a lot that you can infer from our lease revenues about the gross value of goods.
Chad Beynon: Okay. And just to be clear, yes, my question was kind of going forward on a tariff impact on the pricing of some of those items in the stores. So you're not you haven't seen anything thus far in terms of price increases or hearing potential increases from your tenants in April for the outlook?
Craig Billings: We have not. I think that's going to come down to retailer by retailer, and those are really, at the end of the day, their decisions. I mean, we're just we're the landlord effectively, and we do a great job managing our real estate, but we're not in there, obviously, making pricing decisions with them.
Chad Beynon: Okay. Thank you very much.
Craig Billings: Sure.
Julie Cameron-Doe: Thanks, Chad. Operator, the next question will be the last one. Thanks.
Operator: Thank you. And our final question comes from Joe Stauff with Susquehanna. You may go ahead, sir.
Joseph Stauff: Thank you. Two quick questions please, if I could, on Macau. Craig, I was just curious maybe on your observations on the competitive environment in Macau, Cotai in particular, and whether or not you are seeing any impact from, say, the new hotel product recently launched from some of your competitors?
Craig Billings: Sure. Thanks for the question. On the first one, I'll really reference back a bit to how I responded to David. It's a very competitive market. I think you've heard that from a number of our peers. As I said earlier, that competition manifests itself in many, many ways. The promotional environment is actually quite stable, but it's day-to-day, hand-to-hand combat in order to be competitive in that market. And I think that's true for everyone. On the hotel product side, we continue to run full. We continue to have market share that we're very proud of. We are incredibly proud of the state of our assets. We keep them in tip top shape, and we continue to run the best service levels in the market. So you're right, there is incremental product coming to market. That is absolutely the case. We, too, have been innovating with CapEx, not on the room side, but in other amenities, as we've talked about pretty extensively on this call. And I like our ability to be competitive there.
Joseph Stauff: Thank you.
Craig Billings: Sure.
Julie Cameron-Doe: Okay. Well, thank you, operator, and thank you to all the participants on the call. We appreciate your interest in Wynn Resorts and we look forward to talking to you again next quarter.
Operator: Thank you for participating on today's conference call. You may now disconnect.